Operator: Good morning, and welcome to the PPG Industries Second Quarter 2020 Earnings Conference Call. My name is Rocco, and I will be your conference specialist today. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note today's event is being recorded. I would now like to turn the conference over to John Bruno, Director of Investor Relations. Please go ahead, sir.
John Bruno: Thank you, Rocco, and good morning, everyone. Once again, this is John Bruno. We appreciate your continued interest in PPG and welcome you to our second quarter 2020 financial results conference call. Joining me on the call from PPG are Michael McGarry, Chairman and Chief Executive Officer; and Vince Morales, Senior Vice President and Chief Financial Officer. Our comments relate to the financial information released after U.S. equity markets closed on Thursday, July 16, 2020. We have posted detailed commentary and accompanying presentation slides on the investor center of our website, ppg.com. The slides are also available on the webcast site for this call and provide additional support to the opening comments Michael will make shortly. Following management's perspective on the Company's results for the quarter, we will move to a Q&A session. All with the prepared commentary and discussion during the call may contain forward-looking statements, reflecting the Company's current view of future events and their potential effect on PPG's operating and financial performance. These statements involve uncertainties and risks, which may cause actual results to differ. The Company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures. The Company has provided in the appendix of the presentation materials, which are available on our website, reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. For additional information, please refer to PPG's filings with the SEC. Now let me introduce PPG Chairman and CEO, Michael McGarry.
Michael McGarry: Thank you, John, and good morning, everyone. I'd like to welcome everyone to our second quarter 2020 earnings call. As John noted, we posted a detailed narrative on our website yesterday afternoon. And as a slight process improvement versus prior calls, I will make just a few opening comments on the quarter, and then we'll move into Q&A. First, and most importantly, I hope that you and your loved ones are remaining safe and healthy. Throughout this challenging time, we remain encouraged and proud of all the PPG team members for protecting each other, meeting the dynamic needs of our customers, helping communities and ensuring stability for all our stakeholders. We continue to remain optimistic about our business and continued growth prospects.  I also want to comment briefly on the issue of systemic racism and discrimination that has existed for far too long. As a society, we are at a pivotal moment in history, and clearly, enough is enough. As a global company, we are focused on doing our part to help advocate for equality, justice and inclusive workplace that is free of discrimination. Our global leadership team has been holding open discussions with employees, looking at strengthening our diversity inclusion leadership efforts, reviewing our own policies and processes, and leveraging the PPG Foundation to support non-profits for making a positive difference in these important areas. This is, and will remain a priority area for me and the entire PPG leadership team. Now, I'll move to discuss our financial results. Last evening, we reported second quarter 2020 financial results. For the second quarter, our net sales were $3 billion and our adjusted earnings per diluted share from continuing operations were $0.99. These results, which were significantly impacted from the business interruption caused by the COVID pandemic, were better than we originally anticipated. As we communicated in our financial update provided during the quarter, April and May volumes in aggregate were down more than 30% due to the pandemic. For the month of June, strong global architectural coatings demand continued largely driven by do-it-yourself sales and was coupled with sequentially improving auto and general industrial demand resulting in total company sales to be down by a low-teen percentage. I am pleased to report that our global architectural business delivered a record quarter, driven by strong performance in many countries, highlighted by our Mexico team. During the second quarter, our recovery advanced furthest in China where several businesses, including automotive OEMs, general industrial coatings and protective marine coatings all had higher year-over-year sales volumes. The year-over-year demand was lower in other major global regions, but our sequential monthly sales volumes improved in each region during the quarter. Given that we have a large China business, we began our pandemic response in late January, so we were able to implement quick, already tested and decisive actions to help mitigate the lower sales activity and the virus spread outside of China. As a result of these actions, we delivered about $170 million of interim cost savings within the second quarter. In addition to the interim cost savings actions, we achieved more than $20 million of cost savings from our restructuring programs which are permanent reduction to our cost structure. This, coupled with good selling price realization of nearly 2% mostly from our distribution-type businesses, helped us achieve double-digit margins in the second quarter, which is a significant improvement versus the depth of the prior recession in 2008 and 2009. Our operating margin in the second quarter is a strong testimony of the structural cost savings we have delivered in the past few years and higher level of variable costs in our cost structure overall. Also in the quarter, our cash flow from operations totaled approximately $500 million, a level comparable to the prior year second quarter. This was supported by a rigorous management of our working capital, resulting in a $400 million reduction in our working capital compared to the same period last year. Looking ahead, we expect economic activity to continue to recover with differences across end-use markets and geographic regions. We expect our global architectural business to continue to be more resilient and deliver higher organic sales in the third quarter. Although, we anticipate softness in the U.S. commercial maintenance segment to linger and do-it-yourself demand to remain strong, but somewhat less robust in the second quarter. We are pleased with the advancements with respect to our U.S. architectural coatings delivery model, preferred authorized dealer network and our global digitalization initiatives and expect continued customer adoption leading to further growth opportunities in the future. We anticipate demand for our automotive OEM and general industrial products to continue their recovery in the third quarter. Other businesses, including automotive refinish and aerospace will take longer to recover until travel and miles driven return close to 2019 levels. Due to the uncertainty over the economic climate resulting from the continuation of the COVID-19 pandemic, aggregates sales volumes are projected to be down 8% to 15% in the third quarter, with differences by business and regions. Decrements to margins in the third quarter are expected to be slightly worse than those experienced in the second quarter. This is related to removing some of the interim cost mitigation actions in the third quarter as demand for our products progresses and to ensure we properly service our customers as they continue to resume their operations. Our liquidity position remains strong and has improved from the first quarter. We remain committed to our legacy of rewarding shareholders and have approved a 6% increase in our quarterly dividend, a reflection of the confidence we have over maintaining and growing our cash flow. We will also continue to be disciplined over our approach to capital allocation. As the pandemic continues, our focus will remain on leveraging the PPG way, protecting our employees and providing excellent support for our customers with the essential products and services they need to resume and ramp up their operations. In addition, we will continue to support the communities where we do business. I am very proud and pleased with how our global team as a one PPG team is managing through this prolonged and extremely challenging time. I firmly believe that we will emerge as a stronger company. Thank you for your continued confidence in PPG. This concludes our prepared remarks. And now Rocco, would you please open the line for questions.
Operator: Absolutely, sir. We will now begin the question-and-answer session. [Operator Instructions] And today's first question comes from David Begleiter with Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Good morning. Michael, just on raw materials in Q3 and the back half of the year. What are your expectations as to how much of a tailwind they might be versus either the first half or the prior year?
Michael McGarry: Well David, I'd look at that in two ways. The first one is, we continue to see moderation on a year-over-year basis. But you have to be a little bit careful that on a sequential basis, things like copper and oil have started to move up. So I think that moderation – pace of moderation will vary in the third and fourth quarter. We're not exactly sure how the pandemic is going to continue to play out. But I would be looking at it on both a prior-year basis as well as a sequential basis.
David Begleiter: Very good. And just on the DIY strength continuing into Q3, how much moderation do you expect? And how much do you think maybe was pulled forward into Q2 from these projects?
Michael McGarry: Well, I don't think there was really any pull forwards. If you look at inventory on the shelves, I'd say that most of our big box customers would advocate that they would like to see more inventory on the shelf. So I don't see a pull forward from that standpoint. But I do think there is a limit on how many rooms that people will paint in their house. So I do think it will start to slow down over time. Now, obviously that's going to vary by how long there is a stay-at-home orders by various states, but we are not expecting the third quarter to be quite as strong as the second quarter.
David Begleiter: Thank you.
Vincent Morales: Thanks, David.
Operator: Our next question today comes from Bob Koort with Goldman Sachs. Please go ahead.
Robert Koort: Thank you very much. And really appreciate the granularity on the slide deck. That's really helpful. Michael, you mentioned that you felt that next quarter maybe aggregates would be down about the same rate as the June month. So is that – am I right to read that as an expectation of just sort of a steady state from the June exit velocity for the firm or is there something else under the hood going on there?
Michael McGarry: No, I think that's a reasonable assumption. I think the question we have is, if you look at some of our big markets, so think about automotive, right. They have demand out there, but they are having people problems, getting their plants up and running, and making sure everybody is safe. So I think that's the challenge that we don't understand is to what extent will they be able to keep their plants operating at the level they want because they have the demand. It's just now, it's just a matter of whether they can keep it going.
Robert Koort: And then you commented that you're able to pull some, I guess what period cost out during the second quarter, but on the industrial side in particular it seems, many of those have to go back in to start supporting or recovering those, in that customer base. How long do you expect that to last? And should we then see the flip side of that which is a really healthy incremental margin improvement as those volumes come back?
Michael McGarry: Yes. So Bob, the way we are looking at it is in the second quarter, we had a number of our plants down for a substantial period of time. Some of them down four to six weeks, right. And we did a really, really good job, our team did a fantastic job with our customers coordinating what colors they wanted when they started up. And we tried to manage that such that they took the colors we had. The colors they wanted right before they shut down and so we were able to actually stay down longer than they were because of that coordination with the customers. So that, we can’t duplicate in the third quarter because basically all our plants are running again. But we have learned a lot of things through this pandemic. Our ability to drive productivity has improved. Our digital initiatives have continued. And so I think a lot of that is a testament to the resilience of the PPG team.
Robert Koort: Great. Thanks very much.
Operator: And our next question comes from Ghansham Panjabi with R.W. Baird. Please go ahead.
Ghansham Panjabi: Hey guys. Good morning. Hope everybody is doing well. I guess just as a follow-up to the last question on the 8% to 15% volume decline you're forecasting for 3Q. Does the downside extreme assume any incremental lockdowns in the U.S. or any other regions? You mentioned, for example, Michael, in your prepared comments that auto OEM should benefit sequentially from reduced seasonal shutdowns in 3Q. So I would think that would be a positive variance. I'm just trying to understand what operating paradigm you are embedding on the downside extreme.
Vincent Morales: Hey Ghansham, this is Vince. No question, that's a fairly wide range. We just don't know the shape of the pandemic and some of the key regions, we're still seeing effects obviously in Latin America, South America, India, U.S., so the range that we put out and try to bracket the best case and worst case with respect to how that pandemic will affect the quarter.
Ghansham Panjabi: Okay. And then in terms of the decremental margin variances for 3Q relative to the 2Q baseline, I think you said, slightly worse. Can you just give us some more color on that?
Vincent Morales: Yes. Again – I'll go here again. I think one of the issues, if you look, we had a 40% decremental in Q1. The pandemic hit very quickly and abruptly, we weren't able to manage our costs accordingly. As Michael just mentioned, we were able to be very planful throughout the quarter in Q2, managing not only our operations, but our administrative group. The operations are all started back up. Some of those costs are binary, they're either in or out. So regardless of the volume, these kind of semi-variable costs, some of those were back in Q3. So we're not going to be at the 25% for 26% decremental, but we're certainly not going to be at the 40% incremental we had in Q1. So it will be somewhere in between. Hopefully closer to 25%.
Michael McGarry: And Ghansham, I'd say that in the later quarters that will come, we're going to have better incremental margins. I mean I think that's a given. As that volume returns, we're more efficient and we can see that helping us out.
Ghansham Panjabi: Terrific. Thanks so much.
Operator: And our next question today comes from John Roberts with UBS. Please go ahead.
John Roberts: Thank you. China has recovered nicely for you. Is it now steady state as well? Or you're going to continue to grow from this second quarter level in China? And any progress to report on your new coatings for EVs?
Michael McGarry: So John, se see continued improvement in China, but we're not seeing like a massive jump. I think the GDP for our customers are probably going to be in that 3% to 5% kind of range. We are seeing continued improvement in the automotive demand. People are staying away from mass transit. So there are more people driving. So that's positive. We do see virtually every province has some kind of automotive stimulus package to support their own little automotive guys in that province. So we do see that continuing. Our industrial business continues to win share in China, so we expect that to continue. So I'd say overall, we're still very positive on our China team as well as our China business.
Vincent Morales: And John, if I can add – I do think – just to piggyback on the last question. Though China, we haven't seen a full volume recovery we've seen a nice volume recovery. But as we alluded to our financial performance there is above prior year due to those – the effect of those incremental Michael was talking about.
Michael McGarry: And John, back to your last question, which is EV. We are getting orders on a various aspects of the EV battery. So we're getting some, obviously, painting the exterior. We just recently won a new award for – I would say the leading EV maker in China where we're providing protective coatings inside the battery. Obviously, that's to eliminate what they call thermal events, which you and I call fires. So we're very pleased with that and we continue to see more trials underway with all the leading battery guys in China. And we think that's a market that's going to grow the fastest for EVs.
John Roberts: And then I may have missed it, but I didn't see any additional reserve for bad debt. How are you feeling about general industrial because big manufacturers, as you mentioned are having some problems, keeping their plants up. I would imagine it's even harder for the small manufacturers in the general industrial area.
Vincent Morales: Yes, John. Just as a reminder to everybody, we took a $30 million bad debt reserve in the first quarter, anticipating some effects from the pandemic. We were not anticipating to see a big customer problem in Q2. Most of our customers have enough liquidity, certainly last quarter or longer that that $30 million would be something that we would expect to – if it's used at all to come through sometime in the latter part of the year. Our collections in Q2 are actually very strong. We've had, in some regions, some of our best percent currents. We still have a $30 million reserve there. Again, we do expect that to be – we'll vet that as we go through the balance of the year, but we would expect some impact in the latter part of the year.
John Roberts: Great. Thank you.
Operator: And our next question today comes from Michael Sison with Wells Fargo. Please go ahead.
Michael Sison: Hey guys. Really nice quarter there. Can you maybe talk a little bit about the stores and how to do it for – Do-It-For-Me channel is sort of shaping up for 2Q. I know there was improvement throughout the quarter. Where do you think you're at in July and how do you think that will play out for interior demand in the third quarter?
Michael McGarry: Well, there's clearly improvement every month in our stores business. And so we're pleased to see that. The work that is really being done a lot of is the exterior work right now. And now we're starting to see consumers be a little bit more understanding and they're allowing inside work as well. So I think the pace of recovery will continue. The challenge, of course, in our architectural business in the U.S. is the commercial side and the maintenance side. So the buildings that were underway are going to get completed. And then that we think there's going to be a slow down in new construction. And then, of course, for resident or commercial maintenance, that's going to be the challenging part going forward.
Michael Sison: Got it. And then as a follow-up, Slide 9, you had a nice comparison regarding your margins now versus they were in the last downturn. If – when volumes returned back to pre-COVID levels, which I understand it could take some time. Where do you think the margins will end up given cost savings and better pricing down the road for each of the segments?
Vincent Morales: Yes, Mike. On a like-for-like basis, we're several hundred basis points better, be it Q1 2008 – Q1 2009, or Q2 2009. Again, that's a reflection of all the structural cost savings we've actioned in the past several years. So if you flash forward, hopefully, when the volumes come back, we would expect to hold that couple hundred margin basis point improvement versus the last cycle.
Michael Sison: Great. Thank you.
Operator: Our next question today comes from John McNulty with BMO Capital Markets. Please go ahead.
John McNulty: Yes. Thanks for taking my question and congrats on the quarter. When we look at the cash that you generated in the quarter and the strength of the balance sheet, it's obviously, it's huge. I guess can you speak to the opportunities to deploy that capital as you look throughout the rest of the year? Are you seeing any opportunities in terms of M&A? Or are people a little gun-shy trying to not kind of worried about selling at the bottom and that type of thing? How should we be thinking about that?
Michael McGarry: So John, we have a number of books in-house and we're making progress on some of them. As always, it challenges the bid and the app gap now. The benefit is that with the June that we had in June that we expected some of these companies had that bid and the app should start to narrow. So we do expect to have some progress in this area this year. Obviously, I don't think we're going to close on any of them in 2020. But I do expect us to have progress. And I would say the pace of the inquiries has not changed. We had a strong order book, if you will, going into this, and we have good opportunities coming out of this. So I'm pleased with it.
John McNulty: Got it. No, that's helpful. And then I guess, PPG runs a pretty lean ship in the first place. And then this quarter, you announced $160 million to $170 million big restructuring program. I guess, can you give us a little color as to where that's actually coming from and your comfort that you can hit that? I know you were speaking earlier to – this is – you're seeing a lot of new opportunities around digital and that type of thing. I guess, how is that playing into this as well?
Michael McGarry: Well, digital is clearly a significant one. So we are moving much more to a click and collect and click and deliver model, and that has provided nice tailwinds and we expect that to accelerate. And if you think about the traditional trade painter, that was not their method of doing business prior to the pandemic. So we anticipate that's going to continue. Obviously, we have some opinions on and you saw that in the second quarter results. Aerospace is going to take a little bit longer to recover. And so we took aggressive actions in our aerospace business. We're also getting more productive in our refinished business. So those two businesses are there. And, of course, I would say the last one is, the service model that we have in automotive and to a small extent and industrial. We've shifted much more to a pay model and so we will either get paid for our technical service people out in the field or we will have less of them. And right now, I'm pleased to report that our customers are really paying for them. This is a – if you notice for OEM, we were above market in all regions, and that's because they value the technical service that our people provide and allow them to start up. That's really important to them. And so they have been willing to pay for that.
John McNulty: That's great. Thanks very much for the color.
Operator: And our next question today comes from P.J. Juvekar with Citi. Please go ahead.
Prashant Juvekar: Yes. Good morning, Michael, Vince. Michael, you seem to be more positive on the refinish market compared to a few months ago with the trends in Europe improving, China now back to 2019 levels. And so even if U.S. and Europe lag by six months relative to China, do you believe that 2021 should be a robust year for refinish? Or would you agree with that logic?
Michael McGarry: Well, I don't know that I would use the word robust, but I think two things I would point to in refinish. One, this second quarter has completely washed all the inventory out of the chain. And so you're not going to have to worry about how much inventory is in the chain. Our body shops ran them down, our jobbers ran them down. Everybody washed them out of the system. So going forward, you're going to see hopefully demand matching up with what we're selling. And I would tell you, also, I was pleasantly surprised by the orders that we saw in June despite congestion being, I would say, mediocre at best, there's still a lot of opportunities out there. So body shops are running at 70% to 80% right now in the U.S. and Europe. And so that's actually a little bit better than I would have projected given how little congestion there is out there on the Street.
Prashant Juvekar: Okay. Thank you. And then secondly, sort of a big picture question. PPG always had good insights into the economy. So my question is, clearly the OEM – auto OME SAAR has come down and there is a view that the auto recovery will be slower than the housing recovery. IHS doesn't see a peak in autos until 2023. So what are your projections in terms of the trajectories in those two end markets?
Michael McGarry: Well, actually it's ironic because we had the same 2023 for getting back to $17 million. But that's not the way. I'm thinking about our automotive business. I'm thinking about our automotive business will have a better volumes than that sooner because of the growth in EV. So I am thinking about this slightly differently. It's going to be builds and EV going forward, not just builds.
Prashant Juvekar: And anything on housing? Thank you.
Michael McGarry: I think housing is actually going to be stronger than people anticipate. I think people are going to be willing to live outside the bigger cities. And so I anticipate housing to get better, faster and sooner. And with interest rates at these kinds of levels, there's really no reason why people can't qualify for mortgages. So the key will be how quickly can we get people back to work. Right now, you've got so many small businesses that I think are at permanent damage risk. That's the thing I worry most about is all these small business people that are out – will likely be out of business.
Prashant Juvekar: Great. Thank you.
Operator: And our next question today comes from Jeff Zekauskas with JPMorgan. Please go ahead.
Jeffrey Zekauskas: Thanks very much. Can you compare the trends in the aerospace OEM market with the trends in the aerospace maintenance and repair market exclusive of defense?
Michael McGarry: Yes. So Jeff, as you know, the builds for Airbus and Boeing have come down appreciably, and we anticipate them to stay down for a while. So last year they were building, let's call it 45, 737s a month. Now they're building, let's call it 20% of that, 30% of that. So appreciably different. Now MRO though is strictly dependent upon the number of times that plane goes up and comes down. And we peaked at about 64% of the flights or planes being parked. And now we're about only 40% of the planes are parked. And so MRO will start to get better because it's – again, it doesn't matter if there's one person on the flight or a 100. And so we anticipate that getting better. So we think a leading indicator, if you want to try to estimate MRO, a leading indicator is the growth in flights, not passengers. So don't pay attention to the passengers, but pay attention to the flights.
Jeffrey Zekauskas: Great. Thank you for that. And can you compare changes currently in titanium dioxide prices in different regions. That is, are the price patterns different in South America, Europe and in the United States?
Michael McGarry: Yes. They're all four regions are different. So you have lower prices in Asia. You have higher prices in Latin America due to currency. You have slight moderation in Europe and very little moderation in the U.S.
Jeffrey Zekauskas: Great. Thank you so much.
Operator: Our next question today comes from Chris Parkinson with Credit Suisse. Please go ahead.
Christopher Parkinson: Great. Thank you. Throughout all this malaise, there's been a reasonable amount of debate on market shares in architectural, packaging, coil and refinish, I guess have been kind of the primary four. Just given what you know now, just how do you set your own market share movements? And then also, how would you assess your competitive positioning for the balance of this year? And then also outlook into 2021? Thank you.
Vincent Morales: Hey, Chris. This is Vince. I think there's a lot of opaqueness out there, so it's really hard to determine market shares. We'll certainly go through this quarter, next quarter, look at all of our results, our competitors’ results. I think the biggest thing we see, obviously, there's a share shift right now from Do-It-For-Me to DIY. That helps our DIY business, it’s our trade business. Competitively that has different impacts. In the other business as you mentioned, there's really a lot of variables by region, for example, in packaging, a lot of the packager or a lot of the can guys in Asia had to shut down for COVID reasons. So it's really hard to discern what you're asking until we are on a more steady or run rate basis. We're comfortable with what we're doing. We're comfortable in some of the strategic initiatives we laid out like digital delivery. Those things are coming into favor. So the work we've put in the past couple of years around those are helping us. Some of our technical items, some of our technical things like Michael mentioned earlier with respect to – EVs are coming into favor. So a lot of the long lead items we put in place due to this pandemic are coming into favor, which is helpful for us.
Christopher Parkinson: Got it. And just within the architectural, could we just get – dive into this a little bit more just – can you just quickly comment, obviously, it's maybe difficult also to discern in this type of environment. But it seems like you still have a lot of momentum at home depot with Timeless and DIAMOND. You've had – you previously were talking about some new initiatives that even at independents and then even some stuff on online and digital. So just – how should the market be thinking about your U.S. growth rate outlook versus peers and just relative competitive positioning, because it seems like you're doing a lot in both resi and even non-resi. So do you have any comments on that?
Vincent Morales: Again, it's hard with not a lot of market information at this point. But our digital sales are up triple-digits off of a very small base. We definitely see – as Michael alluded to earlier, we definitely see our customer base more willing to move to a digital platform. We're certainly holding our own in DIY market, but the whole market has been elevated. We moved to this preferred authorized dealer network really to be more optimal in our full delivery. Our dealers are up consistent, mostly consistent with the DIY market. So again, we'd like to see more competitive information before we comment. But we feel we're holding our own in this market. We feel right performing in Mexico, depending on – in Europe, depending on the country. Again, the DIY market is just outperforming and we're well favored right now.
Michael McGarry: Chris, I wouldn't want you to miss my comment in my opening remarks where we had a global architectural record performance.
Christopher Parkinson: Great. Thank you very much.
Vincent Morales: Thanks Chris.
Operator: And our next question today comes from Kevin McCarthy at Vertical Research Partners. Please go ahead.
Kevin McCarthy: Yes. Good morning. With regard to your architectural business, so I was wondering if you could elaborate on what you're seeing in Europe in terms of trends by country or at least UK versus continent and also by channel there.
Michael McGarry: So Kevin I'll start with France. As you know that's our largest market. And France, April, we had a lot of challenges in April because of the stores were shutdown because of government mandates. And starting in May, they started to loosen up and by June, all the stores were open and in July, we're doing quite well. So France was just a steady upward trend. The UK started really strong April, May kind of a little bit of a downturn in June as the re-spike in numbers came up. But in July, they're back to really, really good numbers. Poland is doing great. There's no doubt we're taking share in Poland and the rest of our Eastern European business is quite strong. The Benelux, we're definitely doing exceptionally well there. So I've been pleased with our European performance.
Kevin McCarthy: That's helpful.
Vincent Morales: Just from a channel perspective, Kevin, same phenomenon we're seeing here. DIY is very strong both in the UK and on the continent. Trade is feeling the same effect of it this year.
Kevin McCarthy: Okay. Thank you for that. And then second, if I look at your heat map on Slide 6, it strikes me if I counted correctly, you've got 11 boxes that show above market growth and zero that show below market. I think two quarters ago, below market might have been a half dozen boxes or so. So I appreciate, it's got to be very difficult to gauge what the market is doing when conditions are so dislocated. But I guess my question would be, did you feel as though you've gained share in any of your businesses due to the pandemic, whether it's ability to operate or execution or otherwise? Or am I reading too much into that?
Michael McGarry: Well, I think Vince tried to cover this previously. And these kind of times it's always difficult to put your finger on exactly whether you're gaining share or losing share. But I do feel – there's no question that we're gaining share in Australia. I mean that's an easy one to measure. I would say the UK pretty easy to measure there. I would say those are the areas that we're most comfortable with. Clearly automotive is easy to measure. We know exactly what the builds were, and we know exactly what our sales are. So that is a given. I think the rest of them can be quite tricky to figure that one out.
Vincent Morales: Yes. I would just add. One, we were comfortable with is, in certain regions, our protective business due to our technologies, again, it's come into favor as customers are looking for functionality in these times. And I think also in some of our general industrial businesses where we're working with our customers to startup, we're typically one of the favorite coatings companies to help customers startup and have that secure launch process. But again, it is very difficult Kevin, until we see a bigger array of results and really over a couple of quarters.
Kevin McCarthy: Fair enough. I appreciate the color.
Operator: Our next question today comes from Arun Viswanathan with RBC Capital Markets. Please go ahead.
Arun Viswanathan: Great. Thanks. Good morning. Congrats on the results. Just wanted to ask about Q3, so your pace of sales decline in June was 12%, the guidance for Q3 is 8% to 15%. So at the midpoint you're around 11.5% or so down in Q3. So that's not much better than June, I guess in aggregate. So is it your assumption that there will be some considerable moderation in architectural as automotive comes back and that's what kind of drives a similar result in Q3 versus June? Or is there a possibility that maybe we could see some upside to that if architectural doesn't decline as much. How are you thinking about the offset between architectural and automotive in Q3?
Vincent Morales: Yes. Arun, as we mentioned earlier, we have a wide range for Q3. It's really based on the uncertainty around the pandemic in some of our key regions. So we're hopeful to be at the low-end of that range if you will, but we maybe on the high-end of 14%, 15% if the pandemic continues to worsen in certain parts of the world. So that's really what we're looking at. It's still very difficult to predict on a month by – certainly, week-by-week, but on a month-by-month basis. What our customers are going to do? What customers can actually run? We're seeing spots shutdowns from customers due to COVID, we're seeing spot shutdowns from customers due to parts issues. So that's why there's a wide range there and expect some volatility throughout the quarter.
Arun Viswanathan: Okay. And then as a follow-up, just on the cash issue, going back to the – you have a very strong balance sheet here over $2 billion of cash on the balance sheet as well. You stated in the past that you do not want to build cash, but it does appear that it maybe difficult to consummate, and close any deals this year and you said earlier as well. So just curious, what your plans would be if you're not able to deploy that cash in M&A, would you prefer to keep that as liquidity and reserve for now? Or would you be able to put it to work in capital return?
Vincent Morales: Yes. Certainly for the near-term, we're carrying excess cash. Again, our side lines are limited in terms of how this is going to affect us. We're not health experts. We're hearing there may certainly be a flare-up in some of the key countries in the fall. So we're going to be conservative. As Michael alluded to, our acquisition pipeline is refilling. Those are bolt-on in nature. We maybe able to execute on some of those, whether we can close or not this year, I agree with Michael probably be difficult given we're months out before the end of the year. But we'll certainly manage our acquisitions and our cash around that. We do have the capability to pay down some debt. If the sky is clear here, we have our short-term facility that it's free to prepay, so all those are variables. We really just need more visibility on the economy before we start to make some key decisions. We don't want to grow cash. As you mentioned, we will look for earnings accretion opportunities, whether it be acquisitions or other, but we just need more visibility before we start to pull triggers on some of those.
Arun Viswanathan: Okay. Thanks.
Operator: And our next question today comes from Stephen Byrne with Bank of America Securities, Inc. Please go ahead.
Stephen Byrne: Yes. Thank you. You reported that some auto body shops switched over to PPG refinish coatings, and I was just curious where you saw that, and whether it's due to that new paint mixing product that you rolled out in Europe. What is the status of that rollout? Are you getting traction from it? Have you considered expanding it into other regions? And is operating at a 70% rate help you in your process of trying to cause a body shop to flip over to you because they may not be running flat out?
Michael McGarry: Yes. So Stephen, just to get start talking about Moonwalk. We've had 250 installations put in, 150 of which got put in, in the second quarter and 30 of them were new body shop wins. So it is performing at a good level. Obviously, we've been a little bit challenged of getting that out into the field because we have to send tech service people into the field with the equipment to make sure people are trained on running it. So we anticipate that we'll continue to roll that out. We will be looking at moving that into the U.S. as well. Obviously, it's most important in the high labor markets and the high markets where labor is hard to come by. And so that would say that we're probably not going to roll that out in Asia, as a likely place. But we have been picking up share in refinish. We track that quite closely. It's a net win basis because you win some, you lose some, but overall we feel comfortable. The key with refinish though will be getting the miles driven back as well as congestion.
Stephen Byrne: Well, thank you for that. And I had a follow-up for you on the trend of shifting from do-it-for-me to do-it-yourself. Do you see that same trend in your own stores where you're picking up more homeowners coming in or ordering online to buy paints? And was just curious as to your view, based on those relationships and discussions, do you think that some of that impact could be lasting i.e. those homeowners continue to paint the rooms themselves rather than hiring a contractor post-pandemic?
Vincent Morales: Yes, Stephen. We said for multiple years, the shift between DIY and do-it-for-me is highly correlated to the unemployment rate. So certainly last five years, as the unemployment rate has come down and you've seen more do-it-for-me, you've seen obviously a spike in the unemployment rate during these times, you've seen abrupt shift back the other way. And again, I would just look at that unemployment rate on a go-forward basis to determine how these channels will react. It acted the same in 2008, 2009, and it's recurring now. So that's the key. We still think long-term do-it-for-me is going to continue to grow. But certainly for the foreseeable future with unemployment high, do-it-yourself market will remain robust.
Stephen Byrne: Thank you.
Operator: And our next question comes from Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you. I just want to ask a clarifying question on the cost savings to make sure that we have our model right and we don't do any double counting. If I assume your volume constant on a go-forward basis, and you had $170 million of interim cost savings that came out in the quarter, and then you've got the new restructuring program, which is $160 million to $170 million in annual saving. Or let me try it this way. The $170 million that came out on an interim basis is presumably going to come back over time and the $160 million to $170 million that's on the comp should offset that. Now maybe it won't be one-for-one, but is that the right way to think about it, that those two things will ultimately offset each other?
John Bruno: Hey, Vincent. It's John Bruno. That's exactly right. The $170 million, we can call is a transitional or temporary. It will come back as volume comes back and the restructuring savings are intended to be permanent.
Vincent Andrews: Okay. And then just one last follow-up on that. Are you done with the large scale restructuring cost for the year with the charge in the quarter? Or will there be some trickles out in the third quarter and fourth quarter?
Michael McGarry: Well, there are certain costs that are related to restructuring Vincent, that we cannot based on GAAP accounting take until they're incurred. So there'll be some modest trickle outs in Q3, Q4 and even Q1. Again, based on the accounting guidelines, they're very modest.
Vincent Andrews: Understood. Thanks very much guys.
Michael McGarry: Thank you.
Operator: Our next question comes from Sean Gilmartin with Barclays. Please go ahead.
Patrick Fischer: Vince, can you hear me. This is Duffy.
Vincent Morales: Hey, Duffy. We can hear you.
Patrick Fischer: Okay, great. I just wanted to drill in a little deeper on the DIY versus trade split. So in the two summer quarters, where this effect looks like it's going to be important, roughly, what is the normal DIY versus trade breakout, just size of the two businesses over those quarters? And then what would be the influence in that shift kind of on margins? As I'm assuming gross profit margins for DIY is higher than trade? And then on the cash flow as well, as I imagine there's less credit in DIY than there would be in trade. And is that big enough to kind of skew the numbers or influence the numbers for the overall company?
Vincent Morales: So it's different by market – it's different by regions Duffy first of all, that we we'll stick to the U.S. market for clarity. Typically trades 55% to 60% on a gallons basis of the market. It's less – it’s 50/50 on a dollar basis. For PPG, we're close to that mix. We are seeing obviously double-digit growth in DIY. We've seen a decrement in our trade business. Part of that is due to the stores just being shutdown in certain parts of the country. Again because of double-digit growth in DIY in Q2, that's been beneficial for that part of the business. But trade business is higher fixed cost. We have stores, we have leases. So volume there when it comes back typically carries a nice incremental. We don't give out profitability by channel, so we're not going to go there. But again, as long as we're producing positive volumes in architectural business and as Michael alluded to, we had very strong financial performance in all regions, certainly in the U.S., it's beneficial to us and our shareholders.
Patrick Fischer: Great. And then Michael, question for you. I imagine you're getting ready for kind of you're meeting with your business leaders planning ahead the next year, this fall. When you look through the slate of your businesses, are there some of the businesses that you think are just structurally different over the next one to three years because of what happened, where they're going to have to meaningfully change their business plans. And if so, kind of which ones would be the most obvious there?
Michael McGarry: Well, I think, Duffy, the one that is on a – what I think a temporary lag is aerospace. I’m fully convinced that whenever it's safe to get on a plane again, the planes will fill up. You know, when I look at the number of cruise ship bookings for next year, it's radically up, people want to travel, people don't want to be locked in their homes. So probably don't have to wait for the vaccine, but a vaccine would certainly be a huge benefit. But we are aggressively managing our cost structure in aerospace. So I think that's the one that will probably be a little bit longer. I think refinish, we had an incrementally every month was better April versus May versus June. So I'll be in a better position to answer that question by the end of the next quarter. But I would say that we'll probably be 90% of the way back at refinish in the back half of the year. And then it's a matter of what do we have to do to get that last bit back. But those are the only two that I think of – I mean I see cars as a long-term getting back over time. And for us, we will be growing faster than the market because of our EV exposure. And industrial, similar kind of thing. So I don't see any structural deficiencies except aerospace in the short-term.
Vincent Morales: And Duffy, if I could add to that. As we alluded to earlier, we do see this digitization especially in the architectural space, we see some paradigms being broken now that makes the entire supply chain more efficient. We see behavior – typically in a crisis, you see behavioral changes, which is where we're evidencing. People are just more willing to adopt to delivery, more willing to adopt digital. Again we've been talking about this for certainly more than six months, and we're seeing a structural modification of behavior in that channel, not only in the U.S., but we're seeing in Europe, we're seeing in Australia. So I do think that will be something we're going to measure and monitor and try to continue to promote.
Patrick Fischer: Great. Thanks fellows.
Operator: And our next question today comes from Kevin Hocevar with Northcoast Research. Please go ahead.
Kevin Hocevar: Hey, good morning, everybody. Michael, I think you mentioned earlier that on the DIY side, you thought your retailer customers would probably like to have more inventory. So does that imply that manufacturing hasn't been able to keep up with the really strong demand? And does that also imply that we could see a re-stock coming at some point? And is that a regional comment or global?
Michael McGarry: Well, it's definitely regional. I would say we're understocked in Australia, UK and a little bit in the U.S. At this point, the paint season they never want to miss the paint sale, that's the key. And then they typically de-stock in the third and fourth quarters as they especially after Labor Day. So I would tell you that this year is a little bit different. How much inventory they are going to carry going into the fourth quarter is a total unknown at this point in time. And so if I had a crystal ball, I'd tell you that there is a potential for some continued strength beyond what you see in the market, but I think that would be probably a little too much speculation.
Kevin Hocevar: Okay, great. And then pricing was up nicely for the quarter 1.7% for the company and particularly out of the Performance Coatings segment, up 2.7%. So just want to get your sense on how sustainable you think that that pricing is. I know in your slide deck, you said you expected pricing to be up about 2% year-over-year in performance coatings, in the third quarter. So a little bit of the year-over-year fade, sequentially, I don't know if that's just a comp related or any expectation that there is some type of price fade. But just curious with volumes doing what they're doing, particularly on the industrial side of the business, how sustainable you think pricing is at these types of levels?
Michael McGarry: Yes. So the reason that 2% is a comp over year-over-year the timing of when these increases come vary. So we feel very comfortable on the performance coatings side that pricing is there and it's sticking and will be there. On the industrial side, obviously that's always a harder place. But right now, we're maintaining price. We're going to continue to maintain price from a PPG perspective. We'll be willing to walk away from business to make sure we get paid for the value we think we're going to deliver. Right now I see customers much more focused on us helping them get up and running, and price hasn't been a discussion, a significant discussion at this point in time. Obviously, that's going to change once they're up and running and fully operational and things like that. But by and large, you know, what I tell people on the industrial side is, we can get all the price that we needed in the last up cycle, and so we should not be giving away any price just immediately when this – you see raw material start to moderate. So I think there is a give and take here, and right now I feel comfortable that we should continue to maintain price through the balance of the year.
Kevin Hocevar: Okay, great. Thank you very much.
Operator: Our next question today comes from Jim Sheehan with SunTrust. Please go ahead.
James Sheehan: Thanks, good morning. So on the heat map, Brazil seems to stand out to me is the biggest anomaly, growing year-over-year and PPG. You're growing above the market. It seemed like coronavirus issues worsened there. So could you give some more color on what happened in Brazil?
Michael McGarry: Yes. So we're down in the Southern part of Brazil. There's three states down there that we're very strong in. So we're not that strong in think about Rio and Sao Paulo, that's not where our strength is and where we are the pandemic is not as robust as it is up in the major cities, plus we have a new leadership team down there in Brazil and they've done a really outstanding job of growing with our, not just our big box customers down there, but also on our trade side. So it's been two factors.
James Sheehan: Great. And then maybe you could talk a little bit about your raw material inventories. I suspect that you've moved through a lot of the high-cost raw materials, but where are you in that process. It seems like with automotive builds ramping up that you're going to hit through the higher cost raw materials in short orders. Is that right?
Vincent Morales: Yes. Jim, if you just look at our volumes in the quarter. We came in, obviously, the quarter with seasonally high inventories. We worked through that more quickly in performance given the volume trends there versus industrial, where we were down 30%, 40% in some businesses. We're eating into that industrial inventory now. So – and then we're also – to Michael's earlier point, we're a seasonal business. So we're going to be very mindful of what inventory we build or what raw materials we buy as we get further in the year here. We want to obviously manage our inventories down seasonally toward the end of the year. Typically, where we're ratcheting down are coatings manufacturing production beginning of this month and carrying through the summer and trying to obviously work our inventory down in Q4. So very mindful of that, but I think your assumptions are accurate.
James Sheehan: Thank you.
Operator: Our next question comes from Laurence Alexander with Jefferies. Please go ahead.
Laurence Alexander: Good morning. A quick short-term one and a long-term question. On the short-term, with $130 million, the interim cost savings, if that is on top, for Q3 that would be on top of the $30 million to $35 million highlighted in the slide deck. And then do you expect that to come back in a linear fashion as volumes recover or do you see it as a sort of a lumpier kind of way that will flow back into the income statement in 2021. The longer-term question, as you look at your learnings on digitalization distribution, should we expect to chunk your investment cycle in the next two years to three years in order to shift to help PPG drive the mark – the shift in market behavior and leverage it? Or how should we think about the investment cycle on that front?
Vincent Morales: Laurence, this is Vince. I'll take the first one and Michael will take the second one here. So yes, we have $170 million of interim cost savings in the quarter. So we've actually gross higher, but we had lower manufacturing throughput that took away from some of that. That will come back in a more – as we alluded to earlier, I think that will come back in a more lumpy fashion in Q3, some of these costs are semi-variable as we start up plants. We do have to bring back certain cost pools in their entirety, so would not be linear with volume and we're obviously working aggressively to manage those costs, not only in Q3, but on a go-forward basis. So it would be – it wouldn't be completely ratable with volume and it will be lumpier around how we're bringing our operations back.
Michael McGarry: And then Laurence on the digital question, there will be some lumpiness on the capital side, it will vary by business. So once we have a solution in place in architectural, we will replicate that around the world without a lot of significant capital expenditure. But as we roll out some of the solutions that we have for automotive and industrial, those things will need to be replicated and will be a little chunkier. So our capital spend this year is down, but not in digital and digital it's up.
Laurence Alexander: Wonderful. Thank you.
Operator: And our next question comes from Michael Harrison with Seaport Global Securities. Please go ahead.
Michael Harrison: Hi, good morning. Wanted to ask about the auto OEM business, the heat map is showing you guys were above market across all regions. I think you mentioned, they're getting customers to pay for technical personnel and their plants was part of that, but can you talk a little bit more about what was driving that and maybe quantify how much of both market growth you saw in auto OEM?
Michael McGarry: Yes. So Mike, I would tell you that the number one thing, the auto guys want is to get their plants up and running and the paint shop is at the end of the line. So if you end up with a car that's made, but you can't get it paint, that's really expensive for them. So they wanted our people in the plant before they started up to make sure that they were ready to go and then they wanted actually helping the plants to ensure a smooth start up at which we've been able to do. So I would say the amount that we were above market varied anywhere from 2% to 10% depending upon the market. But that's not sustainable, it will be probably above market in the next couple of quarters, but then it will probably be ratably back to market performance. At the end of the day, the customers are very much interested in helping them grow their business. So productivity is another thing that we're focused on. So our tech service people are in the plants to help them drive productivity and the more that we can do that the more that they're willing to pay for those services.
Michael Harrison: All right. And then in the refinish business, the European piece is showing as yellow and everything else is red. Can you maybe talk about what you're seeing regionally, and I guess I'm a little bit surprised that given the recovery in China that Asia Pacific was still showing as red in that heat map. Can you talk about what's going on regionally in refinish?
Michael McGarry: So in refinish, actually in China, if you think about the big cities, they are already back I would say at about 90% plus of congestion, not during the day, but peak rush hour in the morning and in the evenings, look just like they did pre-pandemic. What we're seeing is that people are consolidating their trips and therefore, you don't see that those extra trips during the middle of the day. So the roads are a little bit more open. So that's the only negative in China. In Europe, they did a much better job of handling the pandemic as we've done in the U.S. And so congestion is coming back a little bit quicker in Europe than it is in the U.S. So we're actually quite pleased and they've done a better job of managing their inventory as well. There's not as many large, super large distributors in Europe like we have here in the U.S.
Michael Harrison: All right, thanks very much.
Michael McGarry: Thanks Mike.
Operator: And ladies and gentlemen, this concludes the question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks.
Michael McGarry: Thank you, Rocco. I'd like to thank everyone for your time and interest in PPG. If you have any further questions, please contact our Investor Relations department. This concludes our second quarter earnings call.
Operator: Thank you, sir. This concludes today's conference call. You may now disconnect your lines and have a wonderful day.